Operator: Good morning. Welcome to Morgan Stanley's First Quarter 2025 Earnings call. On behalf of Morgan Stanley, I will begin the call with the following information and disclaimers. This call is being recorded. During today's presentation, we will refer to our earnings release and financial supplement, copies of which are available at morganstanley.com. Today's presentation may include forward-looking statements that are subject to risks and uncertainties that may cause actual results to differ materially. Morgan Stanley does not undertake to update the forward-looking statements in this discussion. Please refer to our notices regarding forward-looking statements and non-GAAP measures that appear in the earnings release. This presentation may not be duplicated or reproduced without our consent. I will now turn the call over to Chairman and Chief Executive Officer, Ted Pick. Good morning. Thank you for joining us.
Ted Pick: The firm delivered a very strong quarter with $7.7 billion in revenue, $2.60 in EPS, and a 23% return on tangible. Wealth added $94 billion of net new assets, bringing the firm total to $7.7 trillion. Equities had a record $4 billion plus quarter which led to strong results across institutional securities. Morgan Stanley delivered returns while supporting clients, buying back stock opportunistically, and building $2 billion of capital. Over the last five quarters, we've grown our equity capital base by about 10%. With a CET1 ratio of 15.3%, our excess capital position and financial strength give us ongoing flexibility and support of clients and shareholders. It is important that we've put up five clean quarters. Our focus on clients combined with discipline around capital, risk, headcount, and investment have generated sequential earnings of $2.21, $1.82, $1.88, $2.22, and now $2.60. This was against a backdrop that was generally favorable but one that hasn't yet seen the tailwind of the long-awaited M&A and IPO capital market cycle. Delivering an average of 20% returns on tangible over the last five quarters is continued affirmation of our financial goals. We've been talking for the last three years about the end of the end of history, which is to say the end of an extended period of political and economic alignment toward globalization. History now resumes. And with that comes an adjustment period where the outlook is necessarily less predictable. The stock, bond, and currency markets are exhibiting the kind of overnight and intraday volatility that reflect rapidly changing probability assessments of different policy outcomes. Economists are telling us the risk of recession has materially increased, but the consensus today is softer, not negative growth. Inflation, meanwhile, continues to swing between declining and sticky. But here too, the forward path of prices along the supply chain to producers and consumers is unclear. The simple truth today is that we do not yet know where trade policy will settle. Nor do we know what the actual transmission effects will be on the real economy. As the year progresses, markets will calibrate further clarity on trade policy against the tax and deregulatory pillars of the agenda as the US endeavors to rebalance the fiscal equation and assert the national interest. Given this unpredictability, some clients are deferring strategic activity while others are proceeding. Importantly, core segments of our client universe are continuing to engage. Barring the worst-case risk-off scenario, trade and geopolitical uncertainty will be priced into the markets over time, and the raising, managing, allocating capital—the lifeblood of our business—will continue. As corporates and investors cannot and will not ignore their trade, energy, and technology priorities. In volatile periods, windows to deploy and reallocate capital open and close and open again. It is in such moments that clients most value Morgan Stanley's global reach and depth. Our insights and advice, our capital markets access, and our execution capabilities. The Morgan Stanley of today is in a very good place. It is worth noting that we just delivered a top-line and bottom-line record quarter. While we are rightly focused on near-term uncertainties and disruptions in the markets, our approach is to prudently plan for the longer-term horizon. Our strategy to raise, manage, and allocate capital for clients is crisp, and it is clear. We have an experienced and stable management team. And a deep bench of talent that is focused on that which we can control. We have financial strength, and durability. We have a culture of rigor, humility, and partnership across our integrated firm. With a demonstrated track record of execution, and now five strong quarters in, I am confident that Morgan Stanley will navigate this moment of history's resuming with focus and intensity and that the firm will continue to scale client wallet and drive long-term operating results. And with that, I'll turn it over to Sharon to discuss the quarter in more detail.
Sharon Yeshaya: Thank you. Good morning. The firm produced record revenues of $17.7 billion and EPS of $2.60 with a strong ROTCE of 23%. The results demonstrate the power of advice and supporting clients as the intermediary of capital across products and geographies, particularly during periods of uncertainty. With a long-standing global footprint, we are uniquely positioned to serve clients as they navigate global market events and quickly evolving macro dynamics. The first quarter efficiency ratio was 68%. Strong revenues and a continued focus on creating capacity to invest in longer-term initiatives contributed to results. Improved efficiency comes despite $144 million severance charges, which were related to performance management and the alignment of our business needs. Now to the businesses. Institutional securities delivered a record quarter with revenues of $9 billion, up 28% versus the prior year. The breadth of our capabilities and our geographic reach, particularly in our equity franchise and in Asia, drove exceptional performance. Global activity among financial sponsors increased, supporting a steady recovery in investment banking from trough levels. Market catalysts such as shifting dynamics in AI, uncertainty around global monetary policy, and US trade debates created bouts of volatility during the quarter, leading to high levels of client activity and engagement. Against this backdrop, Morgan Stanley advised and supported clients as they rebalanced risk, consistent with our strengths and our business model. Investment banking revenues were $1.6 billion for the quarter. Strength in fixed income underwriting off advisory revenues of $563 million reflected higher completed deals across regions. Activity during this period was supported by a pickup in financial sponsor engagement and growth in midsized deal announcements. Equity underwriting revenues were $319 million. Equity markets were largely open, but activity was muted as issuers and investors evaluated the evolving landscape, particularly in the Americas. Fixed income underwriting delivered revenues of $677 million. The result was very strong, with non-investment grade loan issuance driving outperformance. Strong investor demand and tight credit spreads supported active issuance, providing opportunities for our business to capture share during the quarter. With tariff announcements and subsequent market volatility, excuse me, while tariff announcements and subsequent market volatility have disrupted near-term deal activity, our pipelines have not meaningfully changed since the beginning of the year and remain robust. Therefore, while the timing of the deal execution remains sensitive to market conditions, there remains demand for strategic advice and capital raising. Turning to equity. Revenues were robust, increasing 45% from the prior year to a record $4.1 billion. The quarter reflects strength across our client franchise. A broad and deep global footprint, prudent risk management, and returns on our multiyear investments across products contributed to results. Globally, we helped clients remain agile amidst shifting market themes. Prime brokerage continued to report strong results. Clients remain engaged and invested. Our cash benefit business benefited from volumes increasing across regions. Derivative revenues were meaningfully up versus the prior year. The result reflects higher client activity amid a more volatile trading environment. Fixed income revenues were $2.6 billion, improving versus the prior year. An increase in flow trading activity offset fewer opportunities. Macro revenues increased versus the prior year. The business navigated higher market volatility well, particularly in foreign exchange where client activity increased across product relative to last year. Micro revenue declined slightly, as tighter credit spreads limited secondary market opportunities versus the comparative period. This was partially offset by higher loan balances and an increase in securitization activity. Other revenues increased to $692 million, primarily driven by realized gains on the sale of corporate loans held for sale. Turning to ISG lending and provisions. In the quarter, ISG provisions were $91 million. This reflected portfolio growth alongside a more cautious outlook in response to the volatile macro backdrop in the first quarter. Net charge-offs were approximately $23 million, primarily related to commercial real estate loans in the office sector, which were largely already provisioned for. Turning to wealth. The business delivered very strong results in the quarter across metrics. Revenues of $7.3 billion, reported margin of 27%, $94 billion in net new assets, and consistently strong fee-based flows of $30 billion. Retail clients remain engaged. Strong transactional activity increased unsolicited trading and ongoing migration into fee-based accounts to demonstrate client participation and the demand for advice amid heightened volatility. Client asset levels across the franchise remained strong at $6 trillion of assets. Fee-based assets were largely unchanged compared to the end of the year, at $2.3 trillion, highlighting the diversified nature of the adviser-led fee-based account flows. Pretax profits were $2 billion, and the reported PBT margin was 26.6%. The margin was negatively impacted by 174 basis points related to DCP and severance-related costs. Net new assets for the quarter were strong at $94 billion, representing a 6% annualized growth rate of beginning period assets. The result was supported by broad-based strength across channels, inclusive of elevated flows related to adviser-led clients, stock plan vesting events, positive recruiting trends, and self-directed clients. Asset management revenues were $4.4 billion, up 15% year over year, reflecting higher market levels and the cumulative impact of positive fee-based flows. Fee-based flows remained strong at $30 billion. Two dynamics continue to play through our results. First, fee-based flows in the quarter were again supported by assets migrating from adviser-led brokerage accounts to fee-based accounts. Second, assets migrating to the adviser-led channel that originated from the workplace channel. As these relationships grow, with an incremental $20 billion this quarter, adding to the roughly $300 billion accumulated from workplace since we expanded our channel in 2020. Transactional revenues were $873 million, and excluding the impact of DCP, were up 13% versus the prior year. The first quarter's results were supported by higher levels of client activity evidenced by strong daily average trades that have continued to rise despite recent uncertainty. Bank lending balances increased $3 billion quarter over quarter to $163 billion, driven by balanced demand across products. During the quarter, we saw a pickup in securities-based lending balances likely to satisfy upcoming tax obligations. Total deposits of $375 billion were up quarter over quarter as demand for our savings offering was partially offset by the modest decline in sweep balances. Within sweeps, we saw clients consistently deploy cash into markets during each month of the first quarter. Overall deposit movements in the quarter were generally in line with seasonality and our expectations. Net interest income was up modestly quarter over quarter to $1.9 billion. Looking ahead to the second quarter, we expect the seasonal decline in sweeps related to tax payments, which would result in a modest decline in NII. However, over the course of the recent two weeks, we have seen a notable increase in sweep balances, exceeding our internal forecast. While this is likely associated with recent market uncertainty, it could have offsetting impacts to the NII in the second quarter should this continue. For the second quarter, deposit mix will remain the key driver of NII. Our wealth franchise sets the industry standard where both clients and advisors recognize the power of our platform. Clients continue to entrust us with more of their assets, reinforcing the value they placed on advice. Adviser recruitment remains strong, reflecting our reputation as an exceptional place where financial advisors can grow their businesses. Looking towards the year ahead, uncertainty has increased the value of advice and our diversified capabilities. We are confident that our business will deliver durable results throughout various market environments. Moving to investment management, reported revenues were $1.6 billion, increasing 6%. Results reflected higher asset management and related fees, driven by higher average AUM. Total AUM ended at $1.6 trillion. Long-term net inflows were $5.4 billion in the quarter. The inflows were driven primarily by Parametric and fixed income and were supported by our efforts to expand distribution of these products. Within alternatives and solutions, Parametric continues to grow as demand for customized direct indexing and tax advantage solutions remains a key source of retail client engagement. Liquidity and overlay services had outflows of $19 billion. These outflows were consistent with seasonal trends but were more moderate than we had previously expected. Performance-based income and other revenues were $151 million, supported by gains in several infrastructure investments. Turning to the balance sheet. Total spot assets were $1.3 trillion. During the period, we accreted $1.9 billion of common equity Tier 1 capital and continue to deliver out to our commitment to return capital to our shareholders, buying back $1 billion of common stock during the quarter. Standardized RWAs increased quarter over quarter, consistent with seasonal trends and active support of our clients. We ended the quarter with a standardized CET1 ratio of 15.3%, underscoring our strong capital position. Our first quarter tax rate was 21%. The lower rate was supported by share-based award conversions, which largely take place in the first quarter. This quarter's results underscore the strong and consistent performance we strive to deliver in active markets. As a trusted adviser to our broad global client base, we continue to benefit from the strength of our integrated firm. Our client-driven model, combined with strong capital and liquidity, positions us to support clients as they navigate the uncertain landscape. And with that, I will open the line up for questions.
Operator: We are now ready to take in questions. You're allowed to ask one question and one follow-up and then we'll move to the next person in the queue. Please standby while we compile the Q&A roster. We'll take our first question from Steven Chubak with Wolfe Research.
Steven Chubak: Hi. Good morning, and thanks for taking my questions. Morning, Steve. Good morning. So, Ted, I wanted to start off with one on the equities trading outlook. Just given your experience overseeing the business, you know, the recent strength has been pretty extraordinary, and the updates from you and peers suggest trading's actually been pretty orderly amid the recent volatility. Something you could just speak to the factors that might support continued durability of the recent strength and some of the variables you're monitoring that could potentially derail some of the recent momentum as well. Steve, love your question. Great quarter. Client activity across the nine boxes. All three products, all three regions, everything clicked. We've made the investments in clients in technology, across Hitech and electronic cash. Across Prime Brokerage and in both the flow and derivative products, and across each major region. Those are the nine boxes. The cash business, as you know, the prime brokerage business, and the derivatives business in each of the three regions, and they all clicked. I feel really good about the business, and it's leadership under Al Thomas in Gokulahari. They've done a hell of a job. It is fundamentally activity-based. The bare case would be weaker economy, weaker sentiment, i.e., the animal spirits going to hibernation, that would be constant with lower prices. Negative manager performance, and that brings lower transaction levels, lower leverage levels, lower new issue activity. But that's not where we are. Markets are off, but clients remain much engaged. High volumes in every region, We have big market share in Asia, as you know. High two-way market views. As we're living through over the last number of days. And new issue market that may pause, but it's still on pipeline. So the upshot is that $4 billion is a very big number, but the run rate has been higher than what we've seen a couple years ago. And it makes sense as we continue to consolidate share, we're clearly continuing to take share with the right technology, the right mix of client business, the right focus on returns around the world. So it's a winner, and insofar as we don't go risk off, it'll continue to be a winner. And I'm super proud of the team. No. Thanks for that perspective, Ted. And maybe for my follow-up for Sharon, just on the NNA outlook. So the flows were certainly more durable than we and others had anticipated. The market deterioration admittedly was a bit more back-end loaded, and it has accelerated into April. So I was hoping you could speak to the durability of the NNA strength just given some of the negative marks we've seen in both fixed income and equities. And you noted cash has been much more resilient in April. Was hoping you could also speak to what you're seeing across lending and margin, particularly margin, which is more equity or beta sensitive.
Sharon Yeshaya: Sure. So let me start first by the NNA because I think the story there is actually really encouraging when you look under the hood. As you know, we have three channels. We have workplace, we have self-directed, and we have adviser-led. Last year, if you compare it a year ago, and I know you know, it was a strong first quarter last year, but we talked about individualized flows. In the first quarter of last year. We didn't discuss that here because it was much more broad-based. We had a year-over-year growth in each of those three segments. So stock plan was an increase. On the self-directed side, we have been investing, and you can see it even in our expense numbers, on our marketing and our investment in our self-directed platform. There has been an increase in the assets that we're seeing in that. And on the adviser-led side, it's multiple clients and multiple different sections that you're actually seeing those flows come in. And we're also seeing flows from the recruiting side. So all of that in my mind is quite encouraging that we're seeing the benefits of the. So as it relates specifically to the cash and the stock that you'd mentioned in terms of the SBLs, I was encouraged by the SBL lending lines that we saw and the growth over the course of the first quarter. If you look back over the course of the last two years or so, there's been more muted growth, especially going into tax. Historically, we have seen individuals using their BDP specifically for paying those taxes or money market cash. The fact that we've seen an increase in SBL, which I mentioned in my prepared remarks ahead of tax season, I think is encouraging, that we have reached at least from a transactional lever, what could be an equilibrium. And in periods of, say, a risk-off, etcetera, you might actually begin to see increases in those balances, which I noticed that we had seen higher than expected levels over the course of these last two weeks.
Operator: We'll move to our next question from Christian Bolu with Autonomous Research. Good morning, Christian. Christian, your line is now open.
Christian Bolu: Oops. Sorry about that. I was on mute. Can you hear me okay now?
Ted Pick: Yep. We got you. We weren't at all offended. We were just wondering how big the question is gonna be, man. Yeah. I was talking to myself for a while there. Sorry. Yeah. I know. I know. I know. I know. I know. I know. I know what that's like. To follow-up on Steven's question around maybe what broadly you're trading, just exceptional results here. Clearly, the market's very volatile. And that volatility has stepped up in April. So maybe talk about how you're managing risk. And then are you taking down exposures, or are you still playing offense? And any sort of color on prime brokerage balances in April, what you're seeing from hedge fund clients.
Ted Pick: Well, broadly, the first quarter flows into the second quarter. There is a lot of client interaction and the animal spirits are still there insofar as folks are trying to not get caught off-site. So there's natural volatility that we're seeing as I mentioned in the opening remarks. In every space and within equity. So the basic market-making function which is the bread and butter of the cash business both voice and electronic continues to be very strong. You're speaking to the prime brokerage business, there, we continue to be a leader. And sure if clients begin to go negative, or they need to delever, well, by definition, lower balances are the result which results over time in lower P&L. You know, much of the client base, Christian, as you know, most folks are closer to the zero barrier than they are a number that is well off of that. So they have a lot to play for. And given the swings and given intellectual capital, that exists with the asset management community, they're gonna look to continue to engage. There's plenty of stock dispersion, that manifests itself in the derivatives markets as you know. Lots of ways to play across asset macro. That brings together our equities and fixed income folks to put together structured product. So there's lots of reasons to think that the equities business and the markets business generally will continue to be active. The question over time will be, at what point does the uncertainty result in a knockout of the new issue business and volumes will slow on the back of just a continued sense of uncertainty and you see then gap year markets and lower volumes, but we're not seeing that. There is plenty of market-making going on. You know, the first quarter, of course, is typically a seasonal winner. Across the street because clients need to initially allocate. But they continue to allocate. So I'm feeling good about that. Broadly. And I think our own experience has been one where things have been orderly. We've been working with clients nonstop and for all of the concerns about what could come down the road in the real economy. The market-making and the ability to transact to clients as they up and down their leverage levels has been very orderly. So you know, engagement is key here and engagement continues.
Christian Bolu: Very helpful. Maybe a question on Asia, and kudos to some team for, you know, did a good job on building out strength across regions, particularly in Asia. I'm guessing a lot of that is Japan and the MUFG partnership. But bigger picture, if we are deglobalizing and there is a decoupling of US from Asia broadly, how do you think about the prospects of your international business?
Ted Pick: Bullish. The power of a global business is to I hate the cliche, sort of an HBR cliche here, but, you know, think global, act local. And I think that has application in our Asia business broadly. Across the investment management wealth high net worth wealth businesses. Which have had a great run here in Hong Kong. But then importantly, the institutional securities business, which is actually about 15% of our firm revenues this past quarter. It was up 35% year over year. So real strength. We have something special, Christian. With our friends and partners in Tokyo. We will have our next board meeting in Tokyo, in fact. A business summit with the leadership in Japan. So we intend on continuing to expand that extraordinary partnership with MUFG. That is a multi-decade play, we hope. Both in the institutional context and in the wealth context. We have a significant business in India. That is a place where we have better part of 12,000 people. We will continue to build our capability both as an infrastructure matter, but also as a securities matter. And then Greater China we have 2,500 people out of Hong Kong out of the 17,500 people we have in Asia. So taking a step back, we have 80,000 people at the firm. 17,500 of them are in Asia. So this is existential to what we do. And 2,500 of those people are in Hong Kong. We're not a big corporate lender onshore. In China, but we interact via Hong Kong actively. And we continue to be a leader both in the investment banking business and in the markets business. In recent quarters, clearly, in equities. Where clients wanna get access to the mainland and to that second-largest economy and stock market and liquidity center in the world. And we continue to be a point of market access and interaction. We pay attention to it, Christian, as you can imagine, actively but day and night, because things are constantly moving around, but we're feeling really good about our continued engagement, with the client base. Locally based, but also on a global basis. And I think you when we look back, at this period, ten, fifteen years from now, when you and I are having this chat, we will see a Morgan Stanley that indeed has a significant international business that could spend five minutes talking about our business in Europe. I will simply say that we've continued to invest both in the UK and on the continent. We are a determined player to be part of the next global order. Both in the wealth and investment management business, but really in the global institutional securities business. You know, Christian, one of the realities of financial repression was that the cost of running a global investment bank was pretty tough to make the return on capital nut. Very tough. So to have gotten here now with the kind of bankers and markets folks and infrastructure through all of the panoply of regulations throughout Europe and internationally to get to this point now where we can slowly take share to durably take share, you saw that we put into the firm-wide goals to durably increase share across the investment bank. That is not a quarter or even year phenomenon. That is a multiyear phenomenon where we think that there will be of course, national champions, but there will be several global winners that are able to transact in the businesses where we do real well. Which is trusted adviser on M&A trades, on underwritings, and then importantly, market making. And then flow through to net worth where it exists, principally in the US. So I am really quite bullish on our international business, and we will navigate the we'll navigate the next number of months and quarters with care. But the determination is a long-term matter is not only undaunted, but we will push forward.
Operator: We'll move to our next question from Ebrahim Poonawala with Bank of America.
Ebrahim Poonawala: Hey. Good morning. I guess maybe Ted, so maybe it's just me, but you sound fairly constructive given what we've come through over the last month, your comments on both on the trading side and how clients have behaved and what we've seen in wealth. It doesn't seem to be the case that we've seen a marked deterioration in the last week or the last couple of weeks. Relative to super strength earlier in the quarter. Is that fair assessment? I don't wanna put words in your mouth, but it goes to the fact that if that's the case, the business is a lot more resilient than investors probably give credit for. So just want to make sure we are thinking about in the right way. You mentioned things about, like, if folks going to hibernation, etcetera, I'm surprised that they haven't already. So just wanna make sure so far, given all what we've seen in the market, you've not really felt any negative adverse impacts or trading over on the wealth side?
Ted Pick: Well, fundamentally, the banking pipeline hasn't changed. Sure. Some clients are naturally going to pause. They've hit the pause button. And others are a go. And there is as you know, you spend time looking at sponsor and corporate activity. There are financial sponsors buying and selling as we speak. Honeywell, Warwick Pincus, you know, buyer. Clear Lake, Dun and Bradstreet. So are sponsors buying and selling assets. So they will continue to play as will corporates it's just going to have to be against the reality of this uncertainty. If the uncertainty can be navigated and priced into the market, there is progress. On these complicated issues. Then folks, I imagine, will respond to that and factor it in as part of their execution risk formula. Now, clearly, if we go risk off, which is to say things really become so unpredictable you don't know where a stock price is going to be within ten or twenty percent, or you don't know where FX cross is gonna be within five or ten percent. And so on with interest rates. Well, I mean, by definition then, activity will stop. Mean, that is just the definition of risk off as you know. But insofar as there is still we are early here. And we're talking about the rearchitecting of industrial policy in the context of America's place in the world, and where it wants to be decades from now. That is weighty stuff but it may well be that that takes some time for some of the bilateral negotiations. But in other contexts, actually, some deals are put on the table. In which case people are going to want to move forward. Because it is our view that the underwriting and M&A pipeline, Streetwide, by the way, not a Morgan Stanley phenomenon. This is the leadership of that product area. Is ready to go. And if windows open, whether those windows are open over a weekend or for a week, or in fact for quarters, or there's a sense that in fact there's relief because we get through this period and we get towards the next two pillars, tax and dreg, I can see clients continuing to move. And we will continue to prosecute business. So that's the long answer. The short answer is in the opening of the quarter, we have not seen a slowdown. Is it bumpier for some clients? Of course, it is. And we have to see how they respond to that over the course of the weeks and months to come. But we are still we'll call it, cautiously optimistic. That we won't go into recession. And we will just keep going.
Ebrahim Poonawala: That's helpful color. Thank you. And maybe, Sharon, for you, there's obviously a lot of discussion around changes to the SLR ratio. Just remind us how impactful could that be for how you manage the balance sheet and just how you manage the business. Is it a needle mover standalone, or how do you think about that? Thank you.
Sharon Yeshaya: Yeah. So I think that it's hard to I wouldn't take SLR only, and I isolation. I will answer your question directly first, but I will give you a little bit of more holistic answer, which is SLR has been, over various quarters, our biasing constraint. And so, certainly, if there's SLR reform, then we will move into a CET1 constrained world, and that provides us with additional opportunities as you think about capital deployment. That being said, it depends on what SLR reform you see. Right? Whether or not it's simply just to allow certain things like treasuries into the denominator, how you think about that, or whether there's a more wholesale understanding that SLR should not be it should certainly be just a backstop and not a binding constraint for an institution. What we feel is probably more important than SLR specifically is just to look at the entire capital regime. So when you think about the interplay between GSIB, between SLR, and between the various CET1 metrics, that is the type of reform one should look at because they actually don't play necessarily that well together. Given that there have been incremental changes simply to one metric versus the other. So from our perspective, one should be looking at everything holistically. But, yes, obviously, we do welcome regulatory reform. And we welcome reform to the SLR ratio.
Ted Pick: SLR becomes part of the mechanism potentially for some of the relief here. Broadly. It may or may not happen, but to Sharon's point, I think what we are interested in here and as an industry is SLR reform in the context of the panoply of regulation that we have sort of endured whether it's GSIB or CCAR LCR, Basel III, Endgame, the entire panoply of acronyms, the SLR reform might be part of the cocktail in the short term, but really we would look for reform broadly and we're much prepared for that. And, again, Ebrahim, just to sort of put an emphasis on this, we can't make a call on where the markets are gonna be a week from now. I mean, that would be absurd for us to know that. So in a sense, there is increased uncertainty. So any strategic transaction is, by definition, gonna get a harder look. What I'm trying to underscore here though is that largely what we're seeing is some folks still going, but the others pausing. They're not deleting. They're pausing. So, yes, that could result in some of the IPO stack moving out a quarter too. It could be that some M&A activity moves out a stack or two. But this is not a question of people rethinking their priorities around technology, energy, competitive dynamics within their industry. So is why we continue to push forward on this theme that we are going to be in an investment banking cycle. And the fact that the markets business continues to be as active as it is, is a pretty good balance against that within ISG.
Operator: We'll take our next question from Dan Fannon with Jefferies.
Dan Fannon: Good morning, Dan. Good morning. Question on just the adviser business. In the market backdrop like this, with the last few weeks in terms of volatility, what does that mean for recruitment and retention trends? And also, does that change the appetite for fee-based flows as you think about going forward and your goals around increasing that metric?
Ted Pick: Well, people are coming toward the platform. Jed Fin and Vince Loomia's lights are blinking, as in their phone lights, nonstop. Folks wanna come on to this platform. And that is in part because the funnel works. We're investing in E Trade. The self-directed channel is very busy. Sharon at length, has talked about, as Avaya, workplace product where we add another $20 billion. You see the progress in fee-based flows. But ultimately, when you get to the top of the funnel, it is about the financial adviser. And the financial adviser is seeing the integrated firm for what it is, which we can offer unique access to intellectual capital, world-class technology, compensation that is viewed to be fair and motivating. And the entire thing works. And so what's happening is we are selective about it. But it is fair to say that Jed and Vince are getting a lot of inbound inquiry and we would expect that to continue.
Dan Fannon: Great. And then just as a follow-up, sticking with wealth, you know, the opportunity for alternatives in the wealth channel is clearly a focus for the large alternative managers. Can you talk about your own proprietary alternative products that you might be able to sell within this channel? Or is that something you could think about inorganically wanting to get bigger in terms of your own proprietary products?
Sharon Yeshaya: Sure. So I'd note for the wealth management platform, we have over $100 billion of private alternatives. It's about if you take that into perspective in terms of what the qualified assets are, we have about 5% of the qualified assets in our system. Are in those private alternatives. Now that compares to your point where our GIC, where our we have, you know, our global investment committee, the recommendation is closer to 15% for those qualified investors. So there certainly is opportunity there. We're working on products from our perspective as well as obviously others are doing it, but we are looking also at places to help fill these gaps and to help you provide a more offering. So it's certainly a focus. It's something that you'll see come through. And we think that there's great opportunity there for us and more broadly just for those alternatives across the platform to go to our retail client base.
Operator: We'll take our next question from Glenn Schorr with Evercore.
Glenn Schorr: Morning, Glenn. Good morning. So we've all applauded all the great trading, which is actually awesome. I'm very curious when you guys are going through the pretty draconian stress tests. The stress test will always spit out pretty bad answers for what any big investment bank does on the trading side. You're doing literally the opposite of that right now. So I'm curious when you look at the composition of those tests, and then you look at the reality of how you perform. And I know it's not, like, every day, and you can't predict the future, but, like, I'm curious on what's different about the setup, how you might suggest tweaking it. Because I know every June when we go through the results, they're way different than reality.
Sharon Yeshaya: So in terms of the underlying stress test you're obviously going to pick different portions of what that environment would be. What we do versus what the Fed does for our own individual stress test will be different. We will test ourselves on where we think that we would have the most vulnerabilities. I think that the challenges that when you look at the underlying tests is really the uncertainty and the build on build of both previous years, and the fact that you're you if you think about the way and we've said this publicly. If you think about the way that these test results come out, is you're giving something more along the line of in June and you're moving forward to having to execute them in October. There's also very limited amounts where when you think about the test from an industry perspective that looks at each of how the individual companies do. So it's a blanket exam rather than when we look at our own stress test, it's modeled towards our businesses and things that necessarily make sense. For us and what our clients do and what we see. So I think that, the Fed has obviously said that they're interested in providing us with those models. It's challenging for me to say, how would I change their models without seeing their models, but what we I think as an industry we agree on is that the models themselves are done from a very holistic perspective. And something as simple as the way that expenses are allocated. Right? It's not just I wouldn't look at it just from the perspective of, okay, what you're doing differently from a trading perspective, Glenn, but it's really about the architecture of both the sense of what you think of the GMS stress and then how you think of it over nine quarters afterwards. So there's many layers to your question where I think yes, in a period of stress, you can have different environments. But there's a blanket envelope that the Fed is giving us that I think needs to be really looked at more in more detail and more rigor and what's actually done from an industry perspective or an underlying company perspective.
Ted Pick: But you're right, Glenn. We've gained share while still observing everything Sharon just described and buffers on top of that. So it's a lot of work for folks on the ground. Because, of course, part of the Morgan Stanley durability story is one where we have excess capital, financial strength, and liquidity. So that has been the headline in both face letters. And folks in every business are well aware of that. And the risk-adjusted capital that needs to be applied across businesses and across clients. And, nonetheless, folks have gained share. So for me, and for Sharon, for the team, is important here is this idea of durably gaining shares given the high cost of running these businesses. You should be able to achieve operating leverage when the environments are strong. And when the environments are choppier that you at least can make your cost of capital. That should be the bid ask. And that is the way we're continuing to think about the markets business and now doing so with excess capital you know, by any measure.
Glenn Schorr: Thank you for all that. I have a much more answerable question for a follow-up. And it relates to just being in general, like, what did you take the reserve on? I know it's small. Is that as of three thirty-one is that as of kinda now? And then what did you sell for the besides gain in other revenue? Just curious on those moving parts.
Sharon Yeshaya: Sure. Just from a from the provisions perspective, it's as of three thirty-one where, basically, for us, when you're looking at the metric the quantitative metric, most important from us from a CECL perspective is GDP. We do disclose that. At the end of the fourth quarter, we had GDP of 1.9, was the expectation for the end of 2025, and that moved down to 1.5. So that's included in terms of what we've taken. Obviously, should there be changes, there will be changes as you move forward from a provisions perspective in the second quarter. You then asked about other and how you think about the movement in those health for sale names. Obviously, we do have a number of names. We run a portfolio business. And we were focused very much on velocity. We've talked a lot about window-driven environments. We had a window-driven environment in periods of the first quarter. We were able to move and take advantage of things for syndication. And what we did is we basically cleared a lot of our chunkier positions, and you'll see that flow through that other line. And what that means, of course, is that we all things be equal, we have now capacity in the event book.
Operator: We'll move to our next question from Gerard Cassidy with RBC.
Gerard Cassidy: Good morning, Gerard. Hi, Ken. Quick question. You guys obviously have your fingers on the pulse of the market very well, and there's been some discussions around in the fixed income trading area with treasuries, the so-called bias trade. There's some stresses out there. Are you guys have any sense of where the are there any stresses going on in the market today? And where are you keeping extra attention in case the stresses do pop up?
Ted Pick: Well, there were higher volumes earlier in the week and then and we saw some derisking. That was followed by some strong auctions. You know, as of this morning anyway when we were getting on this call. Markets continue to function and like all markets, we're engaged with clients. But clearly, we're moving from one instrument to another. And we're gonna be keeping an eye on that. But for our own part, respect to engagement with clients, it's been orderly. And, again, the strong auction speaks to that. And, we're gonna keep a close eye out. But for us, it's been orderly and clients have engaged in a way that is not created any sense of something broader, but that will continue to play out. But for us, it's been regular way some derisking, higher volumes, but all things vehicle functioning markets.
Gerard Cassidy: Very good. And, Sharon, when you obviously talked about the wealth management business in your prepared remarks, and you've got the workplace channel as well as the self-directed and the traditional Morgan Stanley full-service channel. In these markets, that we're in where they're very volatile and choppy, are those three channels, which is the one that you think will do best and which is the one that might slow down in activity?
Sharon Yeshaya: It's a it is a that's a great question. What I can say so far is that based on what we've seen over the course of the last five years, right, it depends on the environment and what you're actually going through. We've seen you know, clearly COVID was different when you think about self-directed. The workplace channel is one where one could say you might see some of a decrease necessarily in granting of stocks. That is what could happen. So if you wanna take kind of that approach of where is the vulnerability, maybe that is one where the actual vesting or the grants of the various stocks might be there. You might not have IPO event. However, on the other side of that, self-directed is one where we see record levels of activities in various days. We've seen increased client engagement in self-directed, and we've also really seen an increase client engagement on the adviser-led side. I highlighted what's known as unsolicited trades. So rather than an adviser necessarily calling an individual, we've seen that those numbers really rise over the course of the first quarter. So that just shows you that there's a lot of engagement on both sides. The volumes from that adviser side over the last two weeks have been up fifty to one hundred percent larger than over the volumes for the last thirty trading days. Remember all the stuff we used to talk about with next best action, etcetera? Where advisers were sending next best actions to their individual retail clients. We've seen many more responses to that than we have historically. Over the course of these last two weeks. What to me that highlights is really the value of the advice and the questions. And then from a self-directed side, the fact that our technology has been able to handle this level of volume without interruption allows a client who is self-directed to come back continue to come back to the platform itself. So that's why I highlight those two channels. Workplace a little bit less in control, so I cannot exactly tell you what a workplace channel would do in terms of granting new stock, etcetera.
Operator: We'll move to our next question from Devin Ryan with Citizens JMP.
Devin Ryan: Morning, Devin. Hey. Good morning, Ted. Good morning, Sharon. A question on expenses. It'd be great to just get a bit of background on the recent initiative that drove some of the severance in the quarter. I know not a huge number, but just, you know, what you accomplished there? And then just more broadly thought on opportunities to drive more, you know, efficiency at the firm and different revenue environments and just whether, you know, this current uncertainty will slow any investments or drive any change in kind of the expense growth plans overall?
Ted Pick: We had a reduction of 3% of our headcount XFA's in the first quarter. As you know. That was coming out of a rigorous year-end performance review assessment and process. We have ongoing investments in automation AI, and assessing where we want our people for the next five, ten years. But, clearly, the environment is such that we'll be reviewing the overall workforce regularly as we always do. And when there's some uncertainty, you have to be doing that. But to be clear, we like where we are right now and where talent can fit into the firm. We continue to bring people on board in the places where we intend on growing. So the expense mentality is around rigor and discipline. It is not necessarily about less. It's about the right allocation of human capital in the context of where the world is going.
Devin Ryan: Got it. Thanks, Ted. And then just on the investment banking conversation, you know, great to hear about the pipelines. You know, uncertainty has been a challenge. The other thing, though, the valuations are down a lot. Right? The S&P is down to teens. A lot of these growth stocks are down thirty, forty percent. So I'm just curious for the new issue market or the M&A market to really turn back on, do you think we need to see kind of a V recovery in asset prices because that's where people's expectations are anchored? Or do you think this is just much more about just some stability and people are gonna try to execute on things once we get that? Like, it's not just about valuations bouncing back to where we came from.
Ted Pick: Stability will be more important than valuation. Most of these transactions are of comparative value. And so waiting for stocks to hit all-time highs again, that probably is not the right strategy. It's a question of what your longer-term priorities are with respect to things that matter to you in the C-suite around supply chain, energy, technology, and sizing against the sector. So too with the IPO calendar, there were folks that came right as that window briefly shut. The brief the window ought to reopen. And potentially reopen for periods of time that will allow for a lot of the new parade of companies to come through. So I think it's more a sense of the uncertainty getting sort of getting a barrier and having a sense that it's not totally risk-off versus pure valuation. Which is why I'm saying pause versus delete.
Operator: Our next question comes from Mike Mayo with Wells Fargo Securities.
Mike Mayo: Good morning, Mike. Hey, Ted. Pause not delete. That's my key question. You know, you sound more upbeat than, I'd say, the average manager. And I'm just trying to what maybe what you're seeing or what you've seen historically or what gives you a little bit more optimism than some others and on the fourth quarter call, meaning, you said mergers, backlog, the best in seven years, you said the DCM is kind of a domino effect at activity in the CFO level. And sponsors are going to harvest. And the pipelines are still the same you said today. So I guess you could still pay a positive story. Pause not delete. But I think the real question is first of all, if that's accurate, I'm still reflecting your views. But at some point, it's delete. Not pause. And the question is, is that one month two months? If we're if it were the next earnings call, we're still discussing what's gonna happen with tariffs, is it kinda you know, do you have to think about rightsizing? And do we think about maybe this capital markets recovery, especially merger recovery, maybe not happening? At what point does the uncertainty go on for so long as to kill off the recovery?
Ted Pick: That's that is the question. That is the question. The Resin Denture of the deals that are in the pipeline is a strong one. Because folks were interrupted obviously by the years of the pandemic. And the uncertainty around interest rates. And now, of course, there is this, and the question Mike, is you know, what are we talking about with respect to the macro environment? Are we talking about the rearchitecting of industrial policy in the context of America's place today. And where it wants to be decades from now. Is it about getting our fiscal house in order and how that interplays with tax and deregulation to come? So broader context, we're talking about writing our own imbalances, and then redefining what's in America's long-term national interest. Those are weighty issues. Complex I. E. Intricate, complicated, I. E. Unclear, so to your point, it could be that when one thinks about how big that adjustment is, that it will require enough time that the pause effectively becomes a relook and the books get put away. But I think it's still relatively early in how this new framework has been formulated. We are finding, Mike, that we are still very much engaged with clients. Yes. We're asking more questions as they are. We're listening to a wider spectrum of possibilities. And, yes, it's fair to say we're gonna have higher structural volatility for a while. So what is the client strategy? What are the risks and what are their alternatives? What are the tactical options? And when you think about what we deliver, which is trusted advice, access to markets, a global perspective, it is the case that markets can be accessed over weekends, overnight, can be done through semi-public, semi-private markets. There is an entire democratization or financialization of investors, buyers, and sellers that allow for deals to happen in all but markets that have been shut down. So it is the case truly that three, four months from now, if the markets have gotten even more complicated, around these weighty issues that the adjustment period looks like it will be a longer one. That it's more of a delete. Someday kind of thing. But I am of the view that we are still on pause. We don't know whether the economy is going to contract. We don't know what the rate of inflation will be when the transmission effects come through. You saw that today's PPI was in fact a miss on the negative side. So we are staying super close to clients. Corporate, and financial sponsor. And in our markets business and then in our wealth business high levels of interaction activity such that we believe that the pause will be frustrating at times. As it is for all of us, Mike. That deals take longer to print. But in the context of clarity around the other two pillars too, tax and Dreg, it may be that that is enough for our client base especially at the top of the advice pyramid, to say, you know what? I can actually quantify what that higher structural volatility is about whether it's in equity prices or in foreign exchange or in interest rates, and indeed, we will go forward. And the answer to your question and it is an important one for a firm like this, is one that will be will be one that I think we'll have more clarity on midyear. When we see how the economy is reacting to, all of the discussions and issues on the table that I've described.
Mike Mayo: Alright. Thank you for that answer. Thanks, Mike.
Operator: There are no further questions at this time. Ladies and gentlemen, this concludes today's conference call. Thank you everyone for participating. You may now disconnect and have a great day.